Operator: Good morning, everyone, and welcome to the Trulieve Cannabis Corporation Fourth Quarter and Full Year 2024 Financial Results Conference Call. My name is Andrea, and I will be your conference operator for today. As a reminder, this conference call is being recorded. I'd now like to introduce your host for today's conference, Christine Hersey, Vice President of Investor Relations for Trulieve. You may begin.
Christine Hersey: Thank you. Good morning, and thank you for joining us. During today's call, Kim Rivers, Chief Executive Officer; and Wes Getman, Chief Financial Officer, will deliver prepared remarks on the financial performance and outlook for Trulieve. Following the prepared remarks, we will open the call to questions. This morning, we reported fourth quarter and full year 2024 results. A copy of our earnings press release and PowerPoint presentation may be found on the Investor Relations section of our website, www.trulieve.com. An archived version of today's conference call will be available on our website later today. As a reminder, statements made during this call that are not historical facts constitute forward-looking statements, and these statements are subject to risks, uncertainties and other factors that could cause our actual results to differ materially from our historical results or from our forecast. Including the risks and uncertainties described in the Company's filings with the Securities and Exchange Commission, including Item 1A Risk Factors of the Company's most recent annual report on Form 10-K, as well as our periodic quarterly filings. Although the Company may voluntarily do so from time-to-time, it undertakes no commitment to update or revise these forward-looking statements, whether as a result of new information, future events or otherwise, except as required by law. During the call, management will also discuss certain financial measures that are not calculated in accordance with the United States Generally Accepted Accounting Principles or GAAP. We generally refer to these as non-GAAP financial measures. These measures should not be considered an isolation or as a substitute for Trulieve's financial results prepared in accordance with GAAP. A reconciliation of these non-GAAP measures to the most directly comparable GAAP measures is available in our earnings press release, that is an exhibit to our current report on Form 8-K that we furnished to the SEC today and can be found in the Investor Relations section of our website. Lastly, at times during our prepared remarks or responses to your questions, we may offer metrics to provide greater insight into the dynamics of our business or our financial results. Please be advised that we may or may not continue to provide these additional details in the future. I'll now turn the call over to our CEO, Kim Rivers.
Kim Rivers: Thank you, Christine. And good morning, everyone, and thank you for joining us today. We are excited to report impressive quarterly and annual results. Our relentless focus on serving customers while driving continued improvement led to outstanding performance during the fourth quarter and throughout 2024. The team came together to generate additional torque from our core business and deliver industry leading margins and record cash flow. I want to congratulate everyone for successfully driving continuous improvement in the business fundament during an election year featuring the adult-use ballot initiative in Florida. From our vantage point, while Amendment 3 fell short of the 60% required per passage, there are many positive takeaways from the adult-use effort. First, we are highly encouraged by the fact that almost 6 million Floridians, or approximately 56% of voters, supported adult-use. The foundational work that was done to raise awareness and educate voters about the many benefits of adult-use legalization sets the stage for eventual adoption through legislation or another ballot initiative. Keep in mind that several other states, including Arizona, Nevada, Ohio and even the Florida Medical Amendment, required two ballot initiatives for successful passage. We believe the support of the majority of Floridians, including President Trump, sends a very strong signal that voters are ready for common sense cannabis reform. Before moving into our financial results, I'd like to take a moment to congratulate Jason Pernell on his new role as President of Trulieve. As one of Trulieve's Co-Founders, Jason has been instrumental in the growth and success of this organization over the past decade. Most recently, Jason has played an integral part in the outstanding performance achieved in Florida. I look forward to working with Jason and the entire team in the year ahead. Turning now to our results, full year revenue grew 5% compared to last year, with increased sales in both retail and wholesale. Fourth quarter revenue increased 5% versus last year and 6% sequentially aided by strong traffic and record units sold. Gross margin improved to 62% driven by lower production costs and our disciplined approach to promotional activity. Adjusted EBITDA increased by $15 million to $111 million or 37% margin, contributing to record full year adjusted EBITDA of $420 million, up $98 million or 30% from 2023. Higher revenue and gross margin paired with expense control in our core business contributed to increased profitability. Full year operating cash flow of $271 million exceeded our target of $250 million. We exited the year with $300 million in cash and investments. Trulieve continues to separate from the pack, effectively leveraging scale to yield stellar financial results. In addition to exceeding our financial targets, we made substantive progress on the strategic initiatives that we laid out at the start of the year. Following a strong finish to 2023, we set goals to further improve the customer experience, expand retail and wholesale channels and increase distribution of branded products while continuing investments to support these initiatives. Since inception, Trulieve has grown the company guided by a customer first philosophy. Our unwavering commitment to providing exceptional customer experiences dictates our approach. In 2024, we did several things to enhance the customer journey. We aligned incentives for store managers with positive customer experiences, rolled out a new website platform enabling smoother customer interactions, and we launched a revamped loyalty program. First, we adopted a thoughtfully designed bonus program company-wide to appropriately incentivize our store general managers by rewarding specific outcomes for metrics including net promoter score, overall satisfaction and wait times, compensation is appropriately aligned with our team's ability to deliver positive customer experiences. Throughout 2024, we realized the benefits of the new program evidenced by incremental improvements in the customer experience and customer retention. Progress continued during the fourth quarter with higher NPS and steady or improved overall satisfaction across all markets. To further illustrate the strength of our retail team, wait times during the busy holiday season were six minutes on average, demonstrating our ability to maintain elevated customer service levels during peak traffic times. Second, we rolled out a new website built upon more advanced technology which we call Web 2.0. This new web architecture provides greater functionality for users including real time updates to products, pricing and promos, and product availability at nearby stores. The upgraded website supports higher traffic and enhanced data capabilities, enabling seamless interactions today while preparing us for future growth. Third, we launched a refreshed loyalty program featuring a simplified reward structure, tiering designed to reward repeat purchases and portability across markets. The program grew to over 550,000 rewards members this month, up from 450,000 last October. Loyalty members typically shop more frequently, spending 2.3 times more per month than non-loyalty members during the fourth quarter. Our comprehensive approach to elevating the customer journey contributed to higher retention. Customer retention improved in the fourth quarter with 68% of customers company-wide and 76% in medical only markets returning to stores. As we prepare for future growth, we remain committed to investing in infrastructure, technology, platforms and talent to support our strategic initiatives. These foundational investments and upgrades to our customer service, website and loyalty program strengthen our competitive position today and ensure readiness for long term success in this rapidly evolving industry. Expansion and optimization of our distribution platform to reach customers is an important component of our long term strategy. During 2024, we grew our retail network, adding 33 new stores and exiting the year with 225 locations. As part of ongoing efforts to optimize our retail footprint, we relocated one store in Pennsylvania, rebranded 16 stores in Arizona and Ohio, and refreshed or remodeled 29 stores in Florida. We reviewed the productivity of our retail locations on an ongoing basis to identify opportunities for expansion and areas for improvement. In 2025, we plan to open 10 new retail locations, relocate up to three stores and refresh or remodel up to 45 dispensaries. Year-to-date, we have added five dispensaries in Arizona, Florida and Ohio and closed one location in Florida. Fourth quarter retail revenue increased 6% sequentially and 4% year-over-year, with traffic up 4% from the third quarter and 13% versus last year robust holiday performance with record units sold during Green Wednesday and 12 Days of Cannabis highlight strong demand for our products. Leveraging the strength of our brands, we grew wholesale revenue by 26% in 2024. Expanded relationships with key partners drove higher revenue, with sales in Maryland and Pennsylvania contributing meaningfully to growth. This year we plan to increase wholesale distribution of branded products. Our commitment to selling high quality branded products through our branded retail locations is a core part of our strategy. In the fourth quarter, we sold over 12.5 million branded product units, up 12% compared to last year and 10% versus the third quarter. Two of our most popular brands, Modern Flower and Roll One, continue to resonate with customers. Both are among our top selling brands across our market, demonstrating the clear value proposition of approachable and consistent cannabis products, we recently launched Modern Flower and Roll One in Ohio. Availability of trusted high quality brands serves to reinforce customer loyalty and build long term brand equity. With over 4 million square feet of capacity, our team has successfully leveraged scale and production to drive down cost by over 20% compared to 2023. Higher yields and potency combined with process improvements and efficiencies across our platform all contributed to lower production expense. Throughout 2024, we added new equipment and upgrades in most of our markets leading to higher product quality and expanded production capabilities. Lower cultivation costs in cornerstone markets contributed to improved gross margins in the fourth quarter. This year we will continue to identify opportunities for greater efficiencies and cost reduction throughout the value chain. Turning now to a new growth initiative for Trulieve. Yesterday we launched a pilot program for a new premium THC beverage called Onward. Farm Bill-Compliant Onward beverages powered by Trulieve are expertly crafted using premium ingredients to ensure consistency of effects and predictable experiences. With products doses at 3 milligrams, 5 milligrams and 10 milligrams, Onward drinks offer something for everyone from the curious beginner to seasoned consumers. As a market leader in Cannabis truly brings significant expertise to product development and brand marketing. We are excited to introduce this innovative beverage line for those seeking a new form of refreshment. Onward Beverages comes in a variety of delicious flavors including 3 milligram Italian Spritz and Peach Bellini, 5 milligram Blueberry Mojito and Sea Salt Margarita and 10 milligram Passion Fruit Martini. These cocktail alternatives are available online@drinkonwer.com for shipment to 36 states. In the coming weeks, we will be piloting the brand in select Total Wine locations in Florida. Check the website for locations and availability near you. Next month Onward will be featured in select Total Wine stores with in store sampling events to support the brand pilot. We are excited about this new category and look forward to announcing additional distribution partners. In summary, the core business remains strong, delivering outstanding financial results while enabling continued investments in strategic initiatives. The team is laser focused on strong execution to best position truly for long term growth. With that, I'd like to turn the call over to our CFO Wes Getman. Please go ahead.
Wes Getman: Thank you Kim and good morning everyone. We delivered full year 2024 revenue of $1.2 billion, up 5% from 2023 with higher revenue in retail and wholesale channels. New dispensaries Increased productivity in existing dispensaries and a full year contribution of adult use sales in both retail and wholesale in Maryland drove our revenue growth. As Kim noted, fourth quarter revenue of $301 million improved 6% sequentially due to strong traffic and record units sold. Full year GAAP gross profit was $716 million on 60% margins compared to $589 million on 52% margins last year. Meaningful gross margin improvement was primarily driven by lower production expenses and our disciplined approach to promotional activity. Gross margin improved each quarter this year as we realized greater economies of scale and efficiencies across our platform. Fourth quarter GAAP gross profit was $187 million with 62% margin representing a 1% improvement sequentially. Gross margin will continue to fluctuate quarter-to-quarter depending on product and market mix, inventory sell-through, promotional activity and idle capacity costs. For the full year 2024, SG&A expenses were $510 million or 43% of revenue compared to $386 million or 34% of revenue in 2023. Higher SG&A included new store opening expenses, technology and infrastructure investments, and support for the Smart and Safe Florida campaign. SG&A Expenses in the fourth quarter were $158 million or 52% of revenue comparable to the third quarter. Net loss was $155 million for the full year 2024 compared to a loss of $527 million in 2023. Net loss would have been $19 million in 2024 excluding non-recurring charges. Fourth quarter net loss was $60 million comparable to the third quarter. Fourth quarter loss per share was $0.27 compared to a loss of $0.33 in the third quarter. Excluding non-recurring charges fourth quarter earnings per share would have been $0.02 compared to a loss of $00.06 in the third quarter. Full year 2024 adjusted EBITDA was $420 million, up almost $100 million compared to $322 million in 2023. Fourth quarter adjusted EBITDA was $111 million or 37%. Fourth quarter adjusted EBITDA margin reflects industry leading gross margin and expense control in our core business. Turning now to our tax strategy. As a reminder, Trulieve with the filing of amended returns starting with our 2019 tax year and continuing through today adopted a tax position challenging the applicability of 280E to our business. To date we have received refund checks over $114 million. Final resolution to our approach may ultimately take years to conclude. In the interim, we continue to accrue an uncertain tax position on our balance sheet while realizing lower cash tax payments. Upon rescheduling of Cannabis to Schedule 3, the 280E tax burden would be removed, effectively capping the downside risk to our tax challenge. Notably, if the impact of 280E were removed, 2024 results would show positive net income. Moving on to our balance sheet, we ended the year with $300 million in cash investments and $480 million in debt. Given the strength of our cash generation, we remain well-positioned to address our near term financial obligations. We have 368 million in private placement notes maturing in October 2026. We plan to retire at least half of the notes and refinance the remainder later this year. Shifting to cash flow. Fourth quarter cash flow from operations totaled $31 million. Capital expenditures were $43 million with free cash outflows of $12 million. Absent the campaign contributions, cash flow from operations would have been $86 million and free cash flow would have been $43 million. Full year cash flow from operations totaled $271 million with free cash flow of $150 million. Capital expenditures totaled $122 million for the year. In 2024 we opened 31 new dispensaries and acquired two locations. Turning now to our outlook, based upon the visibility that we have today, we anticipate first quarter revenue will be down low single digits sequentially. Typically, first quarter results are seasonally slower following the holidays. We anticipate gross margin will fluctuate quarter-to-quarter and generally will be in line with the reported gross margin for full year 2024. We expect full year cash flow from operations of at least $250 million and capital expenditures of up to $40 million. We plan to open 10 stores this year. We may refresh our forecast later this year depending on the timing and progress for Catalyst. I look forward to working with the team and driving continued improvement this year. With that, I'll turn the call back over to Kim.
Kim Rivers: Thanks Wes. Momentum for common sense Cannabis reform continues to build as demand for legal cannabis grows. 2025 could be a pivotal year for the industry, with potential progress on safe banking and rescheduling. We remain optimistic that the Trump administration will work to address inequities for state legal operators, including access to banking, expanded research and normalized tax rates. American cannabis companies with hundreds of thousands of employees who serve millions of customers deserve to operate on a level playing field. Repatriation of investments for U.S. companies to major exchanges would expand access to capital, allowing responsible state legal operators to further invest in serving customers and employees. Within our cornerstone markets, we firmly believe that Florida and Pennsylvania will eventually adopt adult use cannabis legalization. A majority of constituents in both states support adult use cannabis. Thoughtfully crafted programs contribute to tax revenue and allow law enforcement to focus resources on dangerous street drugs such as fentanyl. Trulieve will continue to share the many benefits of the of the legal industry with elected officials and relevant decision makers empowered to enact change. In the absence of reform. U.S. legal cannabis sales are forecasted to reach $36 billion this year, up from $32 billion in 2024. Growth is fueled by increasing demand as consumers choose cannabis for relief and recreation. Efforts to raise awareness and educate the public about the many benefits of legal cannabis continue to chip away at the stigma and misconceptions surrounding the plant. Legal cannabis provides a viable alternative to pharmaceuticals and alcohol, offering safe and tested products for patients and adults. Trulieve has been a staunch advocate for reform and expanded access to cannabis and will continue to lead with action and purpose. With our scaled operations, financial strength and loyal customer base, Trulieve stands out among peers as an industry leader with a differentiated strategy. As I've said before, I wouldn't trade hands with anyone in the industry. Thank you for joining us again, and as I always say, Onward. At this time, Kim Rivers and Wes Getman will be available to answer any questions. Operator, please open up the call for questions.
Operator: We will now begin the question-and-answer session. [Operator Instructions]. And our first question will come from Luke Hannan of Canaccord Genuity. Please go ahead.
Luke Hannan: Thank you. Good morning everyone and congratulations on the results. Kim, I just wanted to ask for your perspective for the year ahead. You and Wes gave great color in your prepared remarks on high level, what you expect to see throughout the course of the year. But I'm specifically curious on Florida, and sort of what you've seen thus far since the vote in November as far as, I mean, there are some folks that perhaps thought the bottom end of the market might begin to fall out now that adult use hasn't come to fruition just yet. Is that similar to what you're seeing and high level, what are you expecting as far as pricing in Florida over the near term? Thanks.
Kim Rivers: Sure. Thanks, Luke. And so, I continue to be to be bullish on Florida. And I've always said, and it remains true today that Florida is in my opinion the best market in the United States. And I think that for us in particular, we have and as I think some of you know, our large scaled operation from a cultivation and production standpoint in Florida. We have been able to maintain pricing and think that really I think what is a key differentiator for Trulieve is the fact that the quality of our products remains high and in fact has actually increased. When you look at both our yields as well as our effectiveness in our only-grow fire program in our THC Percentages have been particularly outstanding in Florida. And so, we have not changed our pricing structure, our pricing dynamics in the state of Florida and have had incredible stickiness with our customers. And I think really again, it's that brand promise that comes through over and over and over again. And we believe that our customers are loyal as a result, and look, that shows up in a number of metrics. We talked about our customer loyalty metrics, we talked about our net promoter scores, we talked about our loyalty program and really, again, really proud of the team in Florida to continue to focus on the core business, really, and even in a year with a lot of external activity happening, and particularly in the state of Florida. So that may be true for some folks, but candidly from our lens and from my lens, Florida remains a fantastic market for us and we see great things ahead in this market.
Luke Hannan: That's great. Thank you for that. And maybe as sort of a follow-on to that you talked about during the year, I think it was 29 dispensaries that you had refreshed and then you had mentioned for the year ahead you're going to refresh your remodel up to 45 dispensaries. How do the returns on capital for those refreshes compare to opening new stores or relocating some of those older stores? And then also, what exactly is sort of involved in the refresh of a store compared to those two other activities?
Kim Rivers: Sure. Well, I mean, a store opening obviously varies, depends on whether it's a ground up build or whether it's a white envelope kind of remodel or if it's literally a remodel of an exist some sort of an existing facility. So that can be very different depending on the specific requirements of the site. A refresh similarly can vary across locations, right? I mean, we have some stores in our platform now that are seven years old in the state of Florida. And so those stores, if those are on the books for a refresh in some cases can be extensive. But in other cases we're literally talking about an updated floor plan and for a more efficient customer flow and traffic flow. We're continuously looking at all aspects of our business. When folks think about efficiency, oftentimes they think only about our cultivation or our production sites. But in reality, we've done a lot of work over the last 12 to 18 months around the customer experience and candidly the employee experience in our stores as it relates to inventory flow and service levels. And some of that is physical in nature. And so, it really does vary per state and per location. Luke. And so I can't really give you a specific answer there. In general, though, I would say, of course, refreshes are going to be significantly less capital intensive than a new store open or a new store build. And I will tell you just my personal philosophy is that it is critical that we are constantly looking back at our store footprint, because I think it's a fallacy to try and save money on your stores, because that's the first place that brand degradation, I believe, or one of the first places that brand degradation can occur. And if you look at retailers over history, as soon as they stop spending money on their stores, the perception and customer experience fell off quickly thereafter. That is an important part and now that is part of our DNA and you'll see that from us probably every year moving forward.
Luke Hannan: Understood. Thanks. Last one here and then I'll pass the line on the onward beverage announcement, can you just give us a look behind the scenes how much work has been going on in the background leading up to this announcement? And then what really put you guys over the edge to go forward with this strategy?
Kim Rivers: Yes. So we are super excited about this category. And entrepreneurship is in our DNA, right? You've got folks that are at Trulieve that have started, were here when we started, and certainly a lot of folks around the executive table that have been here for many, many years. And so, it's exciting for us to be able to kind of put that entrepreneurial hat back on and jump into and really good -- I believe strongly that good products start with curiosity. And really this team over the last year dove headfirst into trying to understand the beverage segment. In total, a lot of research, a lot of talking with companies that are currently in the business, a lot of products testing and sampling and traveling and really talking to anyone and everyone who would talk to us about the beverage category. And for us, we believe that we saw white space in the current offerings and our ability to lead with education and lead with our competency and candidly within the THC space is a differentiator along with our ability to understand growth and how to scale a particular business. And so this is not a, I would just say, this is not like a fly by night. We're not approaching it that way. We are approaching it with an eye towards growing an actual product line in a business within Trulieve. And we're starting it similar to how we approached Florida, which for those of you who remember, it was again a crawl walk, run approach. Right now we are trying to learn everything we possibly can about this group of consumers and about this particular segment of the market. And so, the partnership with Total Wine was intentional, because we will be able to get significant data insights as well as be in-store sampling in markets where we have physical presence. So the markets that we chose to enter with them are markets where we have folks on the ground, teams on the ground who can interact with customers and who can interact with sales associates to again get that feedback loop going, which was so critical and continues to be critical in the Trulieve DNA in terms of how we make adjustments to our offerings and our approach. And so, going in with a premium product targeted to the alcohol consumer and working on that transition conversation away from alcohol and into a hemp-derived THC beverage using nano emulsified ingredient to have consistency of impact, to pair that THC with CBD to ensure that it's, I'll call it a smooth experience as opposed to some of the other products that are currently on the market. We put a lot of work into formulation and to really ensuring that again the brand, the ingredients, the experience, both on a product level and the customer experience as much as we're able to interface there is really top tier. So there's product -- there's new lines that are going to be coming, there's product expansion that's going to be coming soon and again looking forward to a continued rollout across the state of Florida. We are going to focus on Florida first and then once we feel that we're comfortable, you'll see some pretty rapid expansion from there as far as distribution is concerned. Of course it's direct-to-consumer available in 36 states today.
Luke Hannan: That's great. Thank you very much. Appreciate the commentary.
Kim Rivers: Thanks, Luke.
Operator: The next question comes from Donangelo Volpe of Beacon. Please go ahead.
Donangelo Volpe: Hey, good morning guys and congratulations on the results. I'm calling on behalf of Russell Stanley. So first regarding on Arizona, you're now up to 22 dispensaries in this market. How are you thinking about further growth here? And would you add more retail or what other growth options are available or attractive?
Kim Rivers: Sure. Are you talking about Arizona?
Donangelo Volpe: Arizona, but if you could touch -- yes, if you could touch on other growth opportunities that also be appreciated?
Kim Rivers: Yes, sure. So Arizona remains one of our cornerstone markets. We had a recent store opening announcement in Arizona. That store has performed exceptionally well for us and kudos to that team for really again hitting the ground running in that location. Our brands in Arizona continue to gain momentum and to begin resonating with that consumer base out in Arizona. We've been very focused on that and very focused on now that we have our entire footprint rebranded under the Trulieve banner. The next part of that strategic positioning was to get our brands in more consumer's hands and to grow our brand awareness in Arizona, which we're making good strides against in that market. Not only in Arizona but in any of our markets, we're always evaluating the opportunities for growth. Certainly you also saw that we just opened a store in Ohio as an example and are again constantly looking for the opportunity to grow the business in markets where that makes sense for us. And I also want to point out and just highlight again, though, the tremendous growth that we have had, which highlights again the focus on our brand, our brands across the country in our wholesale channel. That team really took the initiative that we gave them throughout the year to grow that channel seriously and have done an amazing job leaning in and not only growing the units sold, but also significant margin improvement by again, focusing on the products that not only make sense from a margin perspective, but also that are resonating with consumers again across the country, so super proud of that team and their focus there as well. Our cornerstone markets continue to be bright spots for us. And look, some of the growth, we're very encouraged about the news that has been coming out of Pennsylvania over the last week or so, and as that market continues to appear poised for adult use through the legislature and of course, are watching other developments in other markets across the country as well.
Donangelo Volpe: Okay, thank you. And then just one more question for me on Georgia. Understanding this market is still in its infancy, but can you talk on its growth trajectory and how it compares to your expectations and potentially even how it compares to Florida years ago? What regulatory changes might we need to see to help accelerate growth here?
Kim Rivers: Yes, sure. So, I remain very optimistic about Georgia and the growth trajectory. States will move at different paces dependent on where they start as well as, again, sort of the -- a lot of times it's more process oriented as it relates to the legislature and how they operate. And so we are starting to see, I'll call it, additional signs of life in Georgia as it relates to willingness of legislators to have meaningful conversations and to engage on the issue of cannabis. We did see some programmatic changes that are meaningful to folks that are on the ground there as it relates to how folks are actually getting their cards and the speed at which they're getting their cards. And that's very similar to Florida in its infancy. And Florida, I remember back when the program started and it took folks three months to get a card and there were literal passport photos that you had to take that would then get rejected by the Department of Health, if your ear was showing as an example or there was a shadow. And so, there are growing pains in a regulated program. And so, it is similar from my experience to - what we did experience in Florida. And again, we're going to continue to be on the front lines there. We're very active in Georgia, as it relates to the legislative process, and we're going to continue to push for change there as well.
Donangelo Volpe: Okay. Thank you. I'll hop back in the queue.
Kim Rivers: All right, thanks.
Operator: The next question comes from Aaron Grey of AGP. Please go ahead.
Aaron Grey: Hi, good morning. Thank you for the questions and congrats on the quarter. So first question for me just wanted to dive a bit deeper in terms of the traffic, right, so up 13%. So a great job there. I know that's for the whole company, but just want to dive a bit deeper maybe in terms of Florida, because I'm sure that was a big driver there. So any color you could provide in terms of how much of that was capturing new patients, stealing share of existing patients. How much would you attribute that to the loyalty program? Any color you could provide from surveys you conducted, or otherwise that helped drive that performance there? Thank you.
Kim Rivers: Sure. So Aaron, we gave a couple metrics, right? We talked about that - we were up in terms of our retention, our customer retention in medical only markets, which of course, Florida is our leading medical only market. I believe it was 76% on the customer retention. And that's obviously a very important metric for us. That customer stickiness report, which we look at, we look at pretty regularly here at Trulieve. The other thing that we talked about right, was and you guys see it every week, is our market share in Florida, which has remained really strong, and has continued to pretty much grow in line with the Florida market overall. So we're keeping pace with those increased units. And I will tell you in Florida, and really in all of our states where we have the loyalty program launch, it is a very robust program. Our customers love it, our patients love it and they are using it. And so as we mentioned, right, when you have an astounding figure, that the loyalty program users are responsible for over two times, right. The revenue or spend as non-loyalty folks, obviously that's going to lead to increased traffic, right? So those folks are coming back more frequently, which is part of - the intentionality behind a loyalty program, right. You're able to serve up those customers offers, and offerings that are personalized based on their spending patterns, and incentivize them to come in and use that loyalty program, to take advantage of the offers that are presented. So I think it's really a combination. I will also say that again, because of our quality and consistency and the pricing tiered structure that has been in place now with us for a while. I do believe that that is continuing to resonate, and speaks to the broader consumer base, and along with our ability to reach out, and capture new patients or first time patients, which has always been a key component to our strategic positioning in all markets. But certainly we cut our teeth on that here in the state of Florida and that continues to be a material focus for us.
Aaron Grey: Really appreciate that color there. That was helpful. Second question for me and apologies if you touched on this in some of the prepared remarks, but just in terms of capital allocation. So cash flow of operations expected at least $250 million CapEx $40 million so over $200 million after that. So how should we best think about the allocation there? Do you think about addressing the balance sheet? Do you see potential for some M&A opportunity? So just how best to think about that just given the current position that you have on taxes and otherwise? Thank you.
Kim Rivers: Yes, for sure. So yes, we did touch on it in our prepared remarks. We are looking to retire some debt this year and feel like we're in a great position, to be able to do that. And we also of course, love to have as you know, optionality in the business and our ability to lean in, to opportunities as they're presented. And so that continues to be, I think a key differentiator for us particularly with some of the, I'll call it instability and other in other companies in this business, and so or in this industry rather. And so and look, we are going to also continue to lead from the front, as it relates to reform opportunities across the country. Whether that be in a state like Pennsylvania for example, or I want to make sure that we're ready, and have dollars on hand to take advantage of those opportunities, when they present themselves and when they actually come into, into reality. In addition, of course there's a federal conversation that's happening as well. And look, it's just in our DNA we're just, we lead from the front. So we're - going to continue to do that. But we also are as I think incredibly disciplined, and ensuring that we have flexibility, and we have the cash available to act, when those opportunities present themselves. So focus for this year is absolutely balance sheet, and ensuring that we get some of that debt cleaned up. And then, again forward looking opportunities that it's an exciting time as far as we're concerned.
Aaron Grey: Okay. Great. Thanks for the color there and I'll jump back in the queue.
Kim Rivers: Thanks.
Operator: The next question comes from Andrew Semple of Echelon Capital Markets. Please go ahead.
Andrew Semple: Good morning. Thanks for taking my question here. I'll probably stay on the balance sheet. And so I'm going to ask. It looks like the uncertain tax position that Trulieve has might cross the $0.5 billion mark and either Q1 or Q2 of 2025. Just wondering, with the strong results you're seeing and cash flow from operations improving. Is there any plans to slow down tax accruals also, given what we've seen from the federal administration so far, or are you comfortable letting that uncertain tax position continue to build over the course of this year?
Wes Getman: Thanks, Andrew. Yes, I mean, the position is going to continue. You can infer the growth by the delta between kind of, PBT and gross profit, which will continue throughout 2025. So don't expect any changes there as it relates to the accrual. We've made our position and that's, that's kind of where we're going to stick. So we, if you want to kind of, project out what that accrual looks like, again, it's just a delta between gross profit and PBT with a roughly 25% effective tax rate. And that'll kind of walk you out what that UTP will look like throughout the rest of the year. Plus there's obviously some interest, expense being accrued. If you look in footnote 16, you'll see it's about $30 million to-date.
Kim Rivers: Yes. And Andrew, I would just say a couple, a couple things. One, keep in mind that that number also includes the $115 million of cash refunds that were issued. So I think that's an important point too. Also keep in mind that we are paying taxes. I mean, so this is again, a differentiated strategy here and that we are paying taxes every single quarter based on again, our filed position with the administration, with the IRS. That being said I, and we have been very clear about this. We don't believe that there has been any changes, as it relates to indications from the administration. I mean, I think you're inferring that there's been some sort of a negative stance or posture. I certainly have not seen that. And so, as it would relate to our strategy around taxes. And so, we are maintaining our position and feel good about it. And I've said all along, I think we've said all along that, the likely outcome here is litigation, which we again are ready for. And so, yes, there's, at this point, we don't see any need for any kind of a pivot, as it relates to our current position.
Andrew Semple: Got it. That's helpful. And then my follow-up here with I'll switch gears and talk about margins. It's been an impressive March higher in Tru's gross margin profile over the past five or six quarters here. The low in 2023 was just north of 50%. So you're up 12 percentage points on your gross margin profile, and in the prepared remarks, you're speaking to opportunities for, and a focus on additional efficiency gains in 2025. Maybe just your overall outlook on Tru's margin profile for the year. Can you maintain these levels above 60%, or is it going to be tough with some of the pricing pressures that some of your peers are talking about continuing into the year ahead?
Kim Rivers: Yes, so what we said in the prepared remarks is that we would point to full year gross margin in 2025 of approximately 60% in line with full year of 2024, right. It's always going to ebb and flow a bit, quarter-to-quarter depending on specific, facts and circumstances that are happening within that quarter, particularly as it relates to product mix, et cetera. So we obviously had some, some great margin performance and the end of 2024. And look we're, we make and I think we're - we've got credibility in this area, because we've outperformed against every one of our peer set in this area. And so, we're going to continue to be head down and focused on efficiency gains as I said, throughout the entire value chain. That being said, right. I mean look, the reality is that this team has done a phenomenal job over the last 12 months to your point, to get the margins up at the rate that they have. In some of our larger scale assets, for example Jesco and some others, we're pretty much there, we think, I mean there may be again some tweaks here and there, but I'm not seeing at this particular moment a step function increase like you had over the last 12 months. Now again this team is very, they are very focused and they are very disciplined around efficiencies. And so we may have another breakthrough that's just not on my radar today. But so I think you're going to start see consistency, and margin from us in 2025, which look it's best-in-class and I am incredibly proud of the team, for what they have achieved. I mean look, you can compare our business to really any other business in a retail manufacturing sector, and I think we continue to stand out there too.
Andrew Semple: Great, that's helpful. Thanks for taking my questions and I'll turn over this wire.
Operator: The next question comes from Brenna Cunnington at ATB Capital Markets. Please go ahead.
Brenna Cunnington: Hi, this is Brenna for Frederico. Congrats on the results this quarter, and thank you for taking our questions. First of all, I just want to say nice touch on the beverages line name. I like that. So just looking at the different markets that you're in, starting with Arizona, we know that the market was experiencing some issues last year with the weather impacting yields, but it looks like the state is starting to recover a little bit. So I'd just love to get some color on how the supply demand dynamics are in Arizona, and if you think that the weather related issues are resolved for now?
Kim Rivers: Yes. I mean listen, weather is a funny thing, right? It snowed in Florida. We had six inches of snow in Tallahassee this December. So it's a little difficult to be too predictive as it relates, to the weather swings across our states. And Arizona did have a particularly brutal summer there for a bit. And that does seem to have mellowed out a little. I mean, we'll see, right? I mean, end of Q2 and early Q3 is always kind of the telltale season for that market. But I will say, as I said earlier, Arizona, look it's a, it has been a challenging market for a lot of folks just given kind of, where it has been as it relates to pricing pressure and compression and consumer behavior and kind of that post COVID, that post COVID world in that state. So, but we are seeing stability come back to that market and we are personally having, from Trulieve's perspective, really increased and improved success with our brands there. We had a huge initiative last year to rebrand and reposition all of our stores, and to launch in a very meaningful way our internal brand portfolio. We were successful in doing both of those things. And really that market to me seems to be really coming together under the Trulieve banner in a very meaningful way. We also launched loyalty in Arizona, which we're seeing great initial success around, which is also interesting for us. Because that's an adult use market, where giving personal information or having a database where you can connect with those folks on a recurring basis, is incredibly valuable and something that it's more difficult to achieve. And so, our loyalty program has given us that capability and we're seeing, we're starting to see pull through from those efforts in that market now as well. We just, as I mentioned before, just launched or opened a new store there, which is doing incredibly well. So I would tell you that we are seeing, I'll call it some rebounding happening in Arizona, but it's not going to be, zero to 60 and overnight. And hopefully to your point, the weather will cooperate with us in 2025 here.
Brenna Cunnington: Perfect. Fair enough. So then lastly, just looking at West Virginia is a state that we don't hear about super often. And from what I recall, it was a state that the company was planning on doing some investments in. So we'd just love to get a general update on how those are going, your general plans for the state and the market dynamics?
Kim Rivers: Sure. So West Virginia, we have a number of stores in West Virginia and it's going, it's going well. West Virginia is a little bit different in terms of consumer profile. And our value portfolio does really well in West Virginia. We have done some, made some tweaks there to our cultivation and production facilities, as we continue to learn more and more about consumer preferences there. And pricing and portfolio mix with our internally branded products. So for example, we just launched a larger format flower offering in West Virginia that, has done really exceptionally well. That was a very recent launch of ours. And so, I would characterize West Virginia as relatively steady, although it's interesting, because some of the, I will call it smaller, maybe single state players in West Virginia and are, I think. We've seen some closures and some consolidation. So we'll continue to watch that market for growth opportunities. Obviously it's a relatively small market for us in our portfolio, but yes, I mean, West Virginia, that team, again, it's about knowing our customers and knowing what in our portfolio we can offer, to really service the wants and needs of that particular customer base.
Brenna Cunnington: Makes sense. Thank you so much. I'll jump back in the queue.
Kim Rivers: Great.
Operator: This concludes our question-and-answer session. I would like to turn the call back to Christine Hersey, for any closing remarks.
Christine Hersey: Thank you for your time today. We look forward to sharing additional updates during our next earnings call. Thanks everyone. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation and you may now disconnect.